Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter and Full Year 2008 EnergySolutions Incorporated Earnings Conference Call. My name is Ann and I will be your coordinator for today's call. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. At this time all participants are in listen-only mode and we will be facilitating a question-and-answer session towards the end of the presentation. I would now like to turn the presentation over to, Mr. John Rasmussen, Investor Relations. Please proceed.
John Rasmussen: Thank you and good morning everyone, welcome to EnergySolutions, Inc. fourth quarter and year-end fiscal 2008 conference call. With me today are EnergySolutions' Chairman and Chief Executive Officer, Steve Creamer and EnergySolutions Executive Vice President and Chief Financial Officer, Philip Strawbridge. Also joining us and available for the question-and-answer session will be Mark McBride, Senior Vice President and Chief Accounting Officer. Before I turn the call over to Steve, I would like to remind listeners that during today's call, managements remarks may contain forward-looking statements within the meaning of the Federal Securities law, including statements concerning plans, objectives, goals, strategies, projections of future events or performance and underlying assumptions many of which are based in turn on further assumptions. Also, forward-looking statements involve risks and uncertainties. Although EnergySolutions believes that its plans, intentions, and expectations are reasonable, it may not achieve those plans, intentions or expectations. There are important risks and uncertainties that could cause actual results to differ materially from the forward-looking statements made in this conference call. Such risks and uncertainties are discussed in the company's Form 10-Q for the quarter ended September 30, 2008 and in other documents filed by the company with the Securities and Exchange Commission. These and other risks could cause actual results to differ materially from those expressed in any forward-looking statements made. Any projections as to the company's future financial performance represent management's estimates as of today, February 26, 2009 and EnergySolutions assumes no obligations to update these projections in the future due to changing market conditions or otherwise. It is now my pleasure to turn the call over to EnergySolutions' Chairman and Chief Executive Officer, Steve Creamer.
R. Steve Creamer: Thank you John. Good morning everyone. EnergySolutions' fourth quarter was very good despite the nation suffering from the worst economic recession in decades which has caused a very turbulent market. We did an excellent job executing on existing contracts and we were successful in winning several new ones. As we -- as always we operated safely and we're successful in reducing costs. Our consistent performance demonstrates that we have a diversified set of capabilities that we can provide to our well capitalized customers throughout the world. We provide essential services to the nuclear industry and to our government customers. These services are needed in good times and in bad times. I would like to thank our team around the world for their outstanding commitment to safety, performance, and the drive to maintain EnergySolutions as one of the world's leaders in nuclear services field. As I explained last quarter our key growth drivers such as disposal of large components and management of the decommissioning of shutdown nuclear facilities remain viable, much needed solutions for nuclear power plant owners across the country and around the world. We continue to explore opportunities around the world in these areas. We are finding creative solutions as evidenced by our beginning work in the fourth quarter on the removal of eight retired steam generators at a nuclear station in North Carolina. There has been a lot of discussion in Utah on the disposal of internationally generated material at the Clive facility. We believe that we have the legal right to dispose this material and look to forward to the judge ruling on our motions for similar judgment on the first of three counts at our declaratory judgment action. All argument on this action is taking place today. Some have asked us why we want to dispose off another country's material. We have created a strong, rapidly growing worldwide nuclear services company. We believe that by utilizing just 4.3 acres at our Clive facility, 5% of our remaining capacity for the disposal of internationally generated material from outside North America will further position EnergySolutions in the international marketplace. We're exploring opportunities to site Clive facilities around the world and we believe that we can help advance these projects by demonstrating this material can be safely and responsibly managed. Italy and other countries that want to restart and accelerate their nuclear programs create great opportunities for EnergySolutions. While our generous offer to share revenue from the disposal of internationally generate material with the citizens of the State of Utah will allow us to increase revenue and earnings at our LP&D division. The major value to a shareholder will be through the resulting international expansion. I'm extremely proud that we operate some of the safest and most unique facilities in the world and that we provide essential services to the nuclear industry, which provides almost 20% of our nation's electricity and over 70% of our nation's non-carbon emitted electricity. Now let me move on and mention a few of our highlights that happened in Q4. In our Federal Services division, as noted last quarter our Federal Services business working with URS completed the transition of the Hanford Tank operating contract and began full operations of the $7 billion contract in Q4. In December the DOE awarded the liquid waste contract at the Savannah riverside to the Savannah River remediation consortium under which we are a pre-selected tier 2 contractor. There is a continuing bid activity as we entered 2009 including upcoming opportunities on AMWTP in Idaho, Portsmouth, and Paducah. The recently passed Economic Stimulus Act contains $6 billion for the accelerated environmental clean up at DOE side. This funding is to be spend through fiscal year 2011 is an addition to the regular appropriations that DOE will receive for environmental clean up. We anticipate that this funding will lead to great opportunities for the company. In our commercial services division as I mentioned last quarter we were awarded a $19 million contract for soil remediation at the Asarco site in Texas at the start of Q4. This project is moving out of schedule as we speak today. Of special note is the large component contract signed in November. We started on the removal of eight retired steam generators at a nuclear power station in North Carolina. This is a kind of large component project that is necessary for utilities as they extend the useful lives of their facilities. This demonstrates that these projects can be funded even in this economy. Finally no other company can provide the sole source integrated remediation project we are delivering on this project. EnergySolutions is providing the engineering, processing, packaging, transportation by rail, and disposal of large components at our Clive Utah facility. We continue to have discussions with Exelon to look at alternative ways to close the Zion project contracts. Both companies are committed to successfully completing the accelerated decommissioning of this plant. In our logistics processing and disposal division, as you know growth in this division has been hampered in the past couple of years because the Federal government has been operating under continuing resolutions that have resulted in a level funding for environmental clean up. However the Economic Stimulus Act and the additional funding provided in the FY2009 Appropriations Bill of 6.5 billion which is around $1 billion over the fiscal 2008 funding is working its way through Congress and this will really help and support this division in our international division. In the UK there have been a number of significant achievements within the overall Magnox contract in Q4. In December 2008 the Nuclear Decommission Authority announced that the competition for the Magnox sites is expected to commence in 2011 and be completed in early 2013. EnergySolutions will continue to lead this important clean up project over this timeframe and will bid on the new contract. It is well worth noting that we were given this two year extension for several reasons, including having one of the best safety records and overall performance records of any UK government contractor. Everyone at EnergySolutions is proud of our UK team. Also this quarter we were notified that we were selected as one of two finalist for managing the UK National Nuclear Laboratory. This is an acknowledgement that we have great people and technology in the nuclear arena. Before Philip details Q4 and the full year performance let me make a couple of additional comments. To reiterate what I said last quarter, I strongly believe in our long-term prospects. We are tremendously well positioned to continue to be a global force and supporting safe and cost effective nuclear power generation. No other company has the integrated capabilities that we have in the nuclear market. I think Q4 was a perfect example of a great company that can operate stably through a very severe recession. We are poised to benefit from the Federal spending programs and remain well position for additional opportunities as commercial utility project funding materializes. I am sure that you saw I bought another million shares in the company in November. Given my view on our long-term future this is one of the best investments my family has ever made. Now I'll turn it over to Philip for the financial results. Philip?
Philip O. Strawbridge: Thanks Steve. Good morning everyone. I'd like to echo what Steve has said, and say that we -- that last quarter we executed well given the economic climate. Our capital structure remains sound, and we continue to pay on debt with our free cash flow. I'll be discussing both GAAP and non-GAAP numbers for Q4 and the full year. We provided a reconciliation of the non-GAAP measures to GAAP net income in our earnings release, which hopefully you all have seen. Also note that the foreign exchange fluctuations had a meaningful impact in Q4 as the decrease in the pound sterling led to large differences between this year and last. I will try to separate out those effects for you at various points as well during this discussion. Revenues for the fourth quarter ended December 31, 2008 were $410 million compared to $428 million a year ago. The decline in revenues of $18 million was primarily due to a $63 million decrease from the effects of foreign currency exchange from our UK operations as the dollar strengthened against the pound in the fourth quarter and also 12 million in our LP&D segment mainly from the decline in disposal activity at our Clive, Utah facilities. These effects were offset primarily by increased revenues of 37 million from our Magnox contracts and by 29 million in our Federal Services segment as a result of the consolidation to two joint ventures that I've talked about before. Gross profit was 55.2 million for Q4 this year compared to 62.4 million for Q4 last year. Gross margin for the quarter was 13.5% compared to the 14.6% in the fourth quarter a year ago and I'll discuss the factors that contributed to the gross margin changes when we get to the segment numbers. SG&A expenses for the fourth quarter 2008 were $40.4 million compared to $41.9 million in Q4 a year ago. One key thing to point out is SG&A expense this quarter included a $10 million one time management compensation expense that was fully reimbursed by E&D (ph) Holdings, the company's former controlling stockholder, again it was fully reimbursed. In the same quarter for the prior year, selling, general, and administrative expenses included 6.9 million related to bonus termination payments under certain employment agreements. As a percentage of revenues SG&A was up slightly this quarter 9.9% versus 9.8% last year, but when the compensation expenses I just mentioned are excluded, SG&A was 7.4%of revenue versus just 8.2 in Q4 of last year. This was due to some diligent control of cost during the quarter. Operating income for the fourth quarter was 14.8 million compared to 20.5 million in the same period in 2007. This reflects the effect of the compensation expense and the FX conversion. Other expenses net in the fourth quarter of 2008 included 5.4 million of foreign currency transaction losses, net of gains on related derived contracts on our U.S. dollar denominated loan to our UK subsidiary. Interest expense declined to 10.3 million in Q4, down from 21.7 million in the same quarter of 2007, as a result of lower average debt outstanding and lower average interest rate in 2008 than in 2007. In addition in the fourth quarter of 2007, we expensed unamortized debt financing fees of 4.2 million as a result of repayment of our debt using proceeds from our IPO. For the fourth quarter of 2008, net income was 2.4 million or $0.03 a share compared to a net loss of 4.8 million or $0.11 loss in the fourth quarter of 2007. Non-GAAP net income which excludes the reimbursed management bonus was 11.1 or $0.13 per share for the fourth quarter of 2008. EBITDA for the quarter was 22.7 and was 32.7 million excluding the reimbursed management bonuses, down from 37 in Q4 of last year. Non-GAAP income before the impact of non-cash amortization of intangible assets and the tax effective reimbursed compensation expense was 16.5 million or $0.19 per diluted share. Now for the full year, I'll just briefly talk a little bit about it. Revenues for the full year ended December 31, 2008, increased 699 million or 64% to 1.8 billion from 1.1 billion for the prior year which is primarily the result of our acquisition of RSMC in June 2007, which increased revenues by 677 million and the consolidation of Isotech and UDS, the joint venture interest we talked about before which collectively increased revenues by 114 million. Revenues in 2008 were reduced by 47 million when compared to the prior year due to the decline in the value of the pound which occurred mainly in the fourth quarter. Gross profit increased 50.7 million or 25.8% to 247.2 million for the year ended December 31, 2008, from a 196.5 for the year ended December 31, 2007. Gross margin decreased to 13.8% in 2008 period from 18% in the corresponding 2007 period. The increase in gross profit and the corresponding reduction in gross margin, up primarily due to the acquisition of RSMC which has significantly changed the revenue mix and the contribution margin. SG&A expenses increased 7.5 million to 129.4 million for year ended December 31, 2008 from a 121.9 million for the year ended December 31, 2007. This increase is primarily attributable to the $10 million management compensation expense I discussed before and increased amortization expense of 4.6 million associated with the acquisition of -- with acquisition related intangible assets in RSMC. Increases in professional fees of 1.2 million related to the Sarbanes Oxley compliance incentive cost of 1.3 million, stock based compensation expense of 3.7 million as a result of the options issued in connection with the IPO, and then fees related to the secondary offering of 1.8 million. These increases are offset by decreased cost related to the termination bonus provisions and certain management employment agreements of 6.9 and the termination of management advisory fees of 2.5 million previously paid to the company's equity sponsors and then decreased consulting cost of 2.1 million and decreased information system and technology cost of 2.1 million. Operating income for the year was 117.8 million compared to 74.6 million in the same period 2007. Other expense was 5.6 million for the year ended December 31, 2008, compared to other income of 3.4 million for the year ended December 31, 2007. This was in part due increased re-measurement losses on our U.S. dollar denominated notes receivable with our UK subsidiary of $14.7 million and an increase in other foreign currency transaction losses of $2.2 million and increased losses on our interest rate derivative contract of $1.7 million. These losses were offset in part by increased gains on the foreign currency derivative contracts of $8 million, and an increase in our proportional share of income from our joint ventures in which we have a non-controlling interest of $1.8 million. Interest expense decreased $30.8 million or 40.8% to $44.6 million for the year December 31, 2008 from $75.7 million for the year ended December 31, 2007. This is primarily due to a decline in both the average borrowings outstanding and the interest rate related to our credit facilities. In addition during 2007 we experienced unamortized debt financing fees of $4.2 million as a result of repayment of debt using proceeds from the IPO. Net income for the year ended December 31, 2008 was 45.2 million or $0.51 a share compared to a net loss of 8.9 million or $0.79 a share for the year-ended December 31, 2007. Non-GAAP net income was 55 million or $0.62 per share. Non-GAAP net income excludes the onetime management expense -- compensation expense, I mentioned as well as secondary offering expense net of their income tax affects. EBITDA for the year-ended December 31, 2008 was 159.8 million compared to a 121.8 for 2007. EBITDA adjusted for the mentioned management compensation expense of 10 million and the cost associated with the secondary offering of 1.8 would have been 171.6 million. Net income before the non-cash impact of amortization of intangible assets for the year ended December 31, 2008 was 64.4 million or $0.73 per share compared to 6.5 million or $0.50 per share for 2007. Non-GAAP net-income before the non-cash impact of amortization of intangible assets was $74.2 million or $0.84 per diluted share for the year. Cash flows from operation for 2008 were 103.1 million, some of which as I mention was used to pay down debt of 40.2 million of our long term debt. At the end of the year, we had 48.4 million of cash and cash equivalents. Now let me turn to our debt position. As of December 31, we had long-term debt of nearly 567 million of which only 3 million is currently due within the next year. Subsequently to year-end we paid down an additional 10 million in debt. The un-drawn portion of the $75 million revolving credit facility, which we do use for letters of credits is approximately 55 million. Now I'm going to address each of our business segments. In Federal Services, revenues in the fourth quarter were 69.8 million up from 40.1 a year ago. Increase in revenues from a year ago was primarily due to the consolidation of the two joint ventures, which we assumed voting control, adding approximately 28.9 million of revenues in the fourth quarter of 2008 at a significantly lower operating margin. Segment income from operations for the fourth quarter of 2008 was 6.1 million compared to the 6.4 million in the same quarter of 2007. Operating margin was 8.8 for the fourth quarter of 2008 compared to 15.9 for the fourth quarter of 2007, and the margins were lower, because the JVs had lower operating margins. In commercial services revenue for the first quarter-- for the fourth quarter was 31.2 million compared to 39.9 million in the fourth quarter of 2007. The decline in revenues was primarily the result of a decrease in revenues from the utility services and engineering and technology projects, because of the completion of several large contracts. This was offset in part by increased revenues from soil remediation work performed at the Asarco site in Houston, Texas, and the start of the new contract for the disposal of large components, which Steve mentioned from North Carolina. Income from operations from the fourth quarter was 2008, was 5.3 million compared to 8.7 for the same period in 2007. Operating margin was 16.9% compared to 21.8% a year ago. Now on to Logistics, Processing, and Disposal or the LP&D Group, revenues for the fourth quarter was 63.5 million down from 75.6 million in the fourth quarter of 2007. The decline in revenues was primarily due to a decrease in the waste volumes at our facility in Clive, Utah. Income from operations was 22 million compared to 35 million in the same period of last year. Operating margin was 34.6 compared to 46.3 in the fourth quarter of 2007, and again the decline in operating margin was primarily due to lower volumes, processed at our Clive, Utah facility in combination with our fixed cost at that facility. Finally our international operations generated revenues for the fourth quarter of 245.6 million down from 272.3 million a year ago, primarily due to the fall in the value of the pounds sterling. On a local currency basis revenues actually increased 17.6%. However, due to the decline in the pound sterling against the dollar, revenues would negatively impact 23%. We continue to work with the NDA, our customer of the Magnox contracts to improve the monitoring of progress of the contracts and agree upon achieved milestones throughout the year, which we talked about in previous calls. As this monitoring improves, the recognition of efficiency fees is expected to be more evenly spread throughout the year and less concentrated in our first and second calendar quarters. We recognize efficiency fees of 8.1 million during the fourth quarter of 2008. For the fourth quarter of 2008 segment income from operations was 9.4 million at a margin of 3.8% compared to an operating loss of 0.2 million at a margin of negative 0.1% last year. Now, I'll talk and discuss about our outlook. Steve has already given a sketch of our general view of the market. Visibility in our commercial segments is better than last year. Federal business visibility is good though there is some lack of clarity about the government budget situation and the lack of clarity on the impact of the stimulus plan. We hope to learn details on these items in the next few months. With that said here are the assumption that we're working to in our own plans, and they are really unchanged from last quarter, namely federal funded projects will remain at their current spending levels until a new budget is approved under the new administration. We expect large component work will produce a couple of new pieces of business for us during the year, even without the blanket approval of the use of decommissioning trust funds from the NRC. We have won the first of those in our budget; we plan to pursue a number of others. Because of financial prices we have assumed that we won't close on Zion, licensed stewardship project until the very end of the year. In addition, we are still talking to other utilities as Steve mentioned about other projects. The pound has significantly declined in value against the dollar and that will impact their earnings in the international segment in 2009. We have assumed a currency rate of approximately $1.50 for this guidance. For the full year of 2009, we still expect EPS in the range of $0.50 to $0.60 on a GAAP basis, earnings per share before the non-cash impact of the amortization of intangible assets in the range to $0.70 to $0.80. Non-cash amortization expenses of intangible assets net of the related income tax expense is expected to be 28 million or 18 million net of the related tax income expense. EPS assumes the weighted average per diluted share account for the year of 88.3 million shares. And for EBITDA, what we expect for the year is to be between $165 million to $180 million. None of these estimates include the impact of any onetime special items. CapEx for the year is expected to be approximately $25 million. Also the last but certainly not the least the thing to talk about is that as you know, 2008 was our first full year as a public company. This year under Sarbanes Oxley section 404 both the company and our auditors had to complete an assessment of our internal controls. I am pleased to report that we have completed that assessment and we have no significant deficiencies nor any material weakness. So with that we're ready to answer questions, operator?
Operator: (Operator Instructions). And the first question comes from the line of Jamie Cook with Credit Suisse. Please proceed.
James Becker: Hi, good morning. It's actually James Becker for Jamie. How are you?
R. Steve Creamer: Good, how are you?
James Becker: Doing well, congratulations.
R. Steve Creamer: Jamie or James.
James Becker: I do, don't I. Congratulations on a nice quarter. Just with respect to a lot of the talk going on with the stimulus I know its still early but is there is anyway you can kind a handicap how you think these funds are going to be allocated between now and 2011. Do you think it's going to be 100 million here, 100 million there, go to existing contracts, what are your thoughts on that?
R. Steve Creamer: I'm actually sitting in Washington D.C on my way to DOE meeting on the stimulus bill. As soon as we finish this call and Philip and John are in Salt Lake City. So we're separate because of the stimulus bill this morning. It is our understanding, preliminary understanding which you will get more clarity on hopefully today that the money is going to be spent as fast as the money can be spent. It has to be spent by September of 2011. The President has been very, very specific with all the agencies that he wants the money put into the economy as rapidly as it can. So we anticipate that the money will, I mean money has been appropriated and I'm assuming we're going to learn more about the list where the money is going to be sent this year, where the money is going to be put on all these projects, and obviously on the contracts we're involved with we have a lot of plans on how we think we can put the money to work as rapidly as possible and have some good effect in 2009 but even more in '10 and '11. So we are very, very excited about it. We think there is great opportunity there for the company.
James Becker: Okay, very helpful. And then just in terms of timing of some of the opportunities that you've been seeing in the past, what are your updated thoughts on Portsmouth, some of the subcontract work at Sellafield, I know that there was some issues there in terms of the subcontract work force, timing of the UK National Lab. Has anything materially changed from your previous expectations?
R. Steve Creamer: No, the Portsmouth and Paducah bids RFP's have been sent out in draft. Actually the Paducah is out in final form that Portsmouth what is that in the draft form right now. They are moving those through fairly rapidly. The UK National Lab, I think we'll hear on it probably sometime in late March, early April, we will here on that. The Sellafield work we're working with obvious with URS or even Amacker as the prime contractors there. We're working with them right now. We're trying to work out, waiting for them to come out with opportunities for Tier 2. They've have had a lot to swallow over there, since November. So they've got a management team over there working on it and we're certainly talking with them continually on opportunities and things that we think we can help them with.
James Becker: Okay, great. I appreciate the color.
Operator: And the next question comes from the line of Scott Levine with JP Morgan. Please proceed.
Scott Levine: Good morning guys.
R. Steve Creamer: Hey Scott.
Scott Levine: I'm not sure if you touched in your guidance explicitly on free cash flow, but I was hoping you might be able to talk a little bit about what your thoughts. I know you have a CapEx guidance number, but if you could let us know maybe whether there is any other variables in building up to a free cash flow and operating cash flow number that might change 2009 versus 2008 that are notable number one? And then secondly if you could update us on your thoughts on uses of cash including debt pay down and comfort level with leverage and thoughts on the dividends?
Philip Strawbridge: Okay. Well I mean if you look generally, its kind of the same thing we talked a little bit about before I think Scott. When you look at what I characterize as true free cash flow, its probably going to be around the $60 million range after you take out and start with, if you look at EBITDA, look at taxes, dividend, others. And in CapEx as we said it's approximately 25 million. So that leaves you with the net $60 million to $65 million type of range. In terms of use of capital what we really anticipate is to continue to pay down debt. We think that given the economic climate and also kind of given the comment that we've gotten back from shareholders that that's the appropriate use if it. So, we really don't see any other mechanisms or changes or needs if you will in that mix even for the cash flow perspective. So what was your other question?
Scott Levine: The question was regarding your comfort zone around leverage just in general.
Philip Strawbridge: No, I think, we are very comfortable given where we are and given the fact that we do create so much free cash flow. Those leverage requirements of course from our credit agreement changed through the year a little bit, but still we're very comfortable through the year.
Scott Levine: You see any on the CapEx number you guys laid out there, is that kind of like a bear bones CapEx or kind of a reasonable meaning CapEx as a potential downside if the economy tightens up further and you need to cut back on spending a little bit?
Philip Strawbridge: Yeah, I mean I think that we have a little bit flexibility and a lot of it though is build on your anticipated contract that we have where we have to put up some capital to get going. So certainly we want to make sure that we invest that CapEx wisely, but we also don't want to restrain our growth.
Scott Levine: Okay. Got you and then if you can just update us a little bit on the tax rate that's embedded in your earnings guidance, is that kind of consistent with the 38% we've been talking looking backward really?
Philip Strawbridge: Yeah what we're talking about is like 34 to 36.
Scott Levine: 34 to 36. Okay, great. And then one last one, if you could talk a little bit more in detail about the component removal opportunities and you've been talking about some alternative funding sources, you had one project announced late last year, little bit more insight into some of the funding mechanisms outside of the -- the more making change that might support some project load, just in general looking forward?
R. Steve Creamer: Yes, several other things are happening on that front. A lot of these projects just like the one down North Carolina are not tied. I mean if the decommissioning funds has two or three different segments inside the fund then they can use funds that aren't control by NRC to be able to fund these types of projects with just approval of the State Public Service Commissions. And so obviously those are the ones that we're targeting really hard to look at, the ones that have segmented areas inside of them so we can move those ahead. I am testifying before the NRC in the latter part of April on overall removal of large components and there is a full day uptake to the commission on these who is out there both people from utilities and people from our services are going to be testifying then. So things are moving ahead. There is a good number of the projects out there that are not tied to the NRC. Those are the ones we are targeting right now. We're also working with the power plants that do have these to make separated funds so that they can bring them new money coming in can separate out to be used for these type of things and which is legal under the current NRC rules and so we're working on that. We think we have some great opportunities to be able to move forward on the large components over this year and going on in the future.
Scott Levine: Thanks, nice quarter.
R. Steve Creamer: Thank you.
Operator: And the next question comes from the line of Sanjay Shrestha with Lazard Capital Markets. Please proceed.
Sanjay Shrestha: Great, thank you. Good morning guys again. Good quarter. Couple of quick questions clarification if I may, so we have it seems like a pretty good outlook on what the spending is going to be on the federal level. Its up year-over-year, we got some incremental project announcement and you guys are sort of on the stimulus packages there yet we're sort of talking about a flat year-over-year performance. So is it then fair to assume that you guys aren't really counting on any major component work to materialize this share and it sort of like the bear bone something will probably go wrong given the macro outlook and if things were just to go right, there is some upside to that number?
Philip Strawbridge: What we have in there Sanjay is certainly we want to be careful from our guidance perspective but what we outlined in our guidance and as I said the assumption is that, from the federal spending perspective from our guidance we've said that spending is going to remain the same. We recognize, we certainly recognize as we talk about in this call that the stimulus package is going be something very positive. But we haven't incorporated that in our guidance yet simply because we don't have the details. So, that is the potential upside. In terms of major components, what we talked about before is that what we put into our guidance is really three different major components jobs, one of which was we've already announced. The other two, we had already had good visibility as a mater of fact one of the other one said that they had to have the components off by the end of the year. So as Steve mentioned, we are working on several of those and so we will see how those goes. But suffice it to say that from a guidance perspective, yeah we've said flat year-over-year but we are very excited as Steve mentioned about the stimulus package and once those things have a little move visibility and we can see how it really impacts our projects then we may look at what we need to do to update you on that.
Sanjay Shrestha: Got it, much appreciated and just a couple of follow up on that. Am I right in reading that there was I think a language in that stimulus bill now that you got to sort of reduce the footprint as well. Now how do you guys sort of see that potentially impacting the sort of the business opportunity for you?
Philip Strawbridge: That's actually one of the more positive things because what that does is that it says they're going to be tearing down buildings and facilities in order to reduce the footprint, that's the way you reduce it so. But, for example on down the Savannah River side, I mean their goal is for use it from 300 square miles down to 75 square miles and so what they'll be doing is going out and tearing down all the facilities around the outside of that to try to get that done. Same way in Portsmouth, Paducah, or Oakridge, White Well what they are trying to do is get rid of lot of old facilities so as that they can reduce the footprint and thus after the stimulus is over, their ongoing cost can actually be the money I think we'll continue to stay the same or rise higher but it will be able to get more accomplished because they won't have as much hotel cost or ongoing maintenance cost. They can actually accelerate what needs to be done on the side. So we were very excited to be honest with you with the House part of the 2009 bill which is being passed for the rest of this year. They actually increased over the Bush's administration for the first three months are up over $1 billion on that one. So we look at that as being a great indicator of what the House has normally been the really conservative ones on AM spending. And the senate has been more liberal. So we're very positive that the administration and the new Congress is both very positive to accelerating the clean up which will be very good for our company.
Sanjay Shrestha: Got it, one last question then guys, and I hope I am not putting you guys on a spot by asking this, but I am going to try. So given all this, so let's say '09 is a flat year but is there any reason for us to think why we cannot see at least double-digit growth in 2010?
Philip Strawbridge: Well I guess to keep in here Sanjay is going to be as we get through the years looking at how quickly we can close on the license to chip (ph) and how many of the major components that we're able to line up as well as the specifics of the economic stimulus plan. But certainly all those things go right worse we could see that.
R. Steve Creamer: No question. I am just going to say if I don't read the newspapers, I think we are going to have a lot more growth than that but when I read the newspaper like all others, we go down a little bit and -- we have -- we are very, very bullish on our company right now and especially through these types of times I think we're strong as anybody could possibly be and we're excited about where we sit.
Sanjay Shrestha: Perfect. Much appreciated guys, congratulations again.
Philip Strawbridge: Thank you
Operator: And the next question comes from the line of Preetesh Munshi with Piper Jaffray. Please proceed.
Preetesh Munshi: Thanks, good morning Steve and Philip.
Philip Strawbridge: Preetesh, how are you today?
Preetesh Munshi: Good. Good quarter obviously, couple of quick questions. In your -- if they are talking about Exelon and NRG Energy potentially merging, how will this impact the licensing stewardship project discussions. I mean do you guys go back to the drawing board on that if that happens between now and whenever it happens or how are you -- can you give us some color there?
R. Steve Creamer: No, it has nothing to do with it really because Exelon would be the resulting owner of the company. So we are -- Exelon will be buying NRG and their management team would be the surviving group. And so we -- it doesn't effect license stewardship. Of course the two we have life of planned agreements with both Exelon and NRG and so we are looking out and they're both great customers. We appreciate both of them.
Preetesh Munshi: So this will potentially be a positive in terms of licensing stewardship business then in that case?
R. Steve Creamer: Absolutely yes, it's positive all the way around.
Preetesh Munshi: And then with your Federal and LP&D business where you have the longer-term visibility especially with the LP&D as the life of planned contracts, how many contracts are expiring if any in the next couple of years and are you adding new contracts to kind of account for the ones that might be falling off. Can you give us some color there please?
R. Steve Creamer: Well obviously the LP&D, the life of plan agreements especially the life of plans some of those are 30 and 40 years and none of those have any terminations coming in and there are any even relooks in the next foreseeable future. They have re-openers as we've indicated before. Most of them are on a 10 years basis. But it's a long time out on any of those contracts. Those re-openers both we and they, we have the opportunity to re-look at pricing there, we have to opportunity to re-look whether there is another alternative. But it's a very positive cash flow situation we have there. On the LA yield, obviously, our commercial service division has a lot of earn and burn type contracts, they are going off and on all the time and we are out marketing and selling those services all the time. And they have some -- but those projects are more in the $15 million to $20 million range and they roll off, they roll on and we just have a good book that we keep working on those. We've got pretty good visibility into those for this year and also even moving into 2010. The Federal Service division, we don't have any major contracts. We're partners right now on the Portsmouth contract and on the Paducah contract there. They're fairly small. Obviously we'll be really re-bidding those over again and with the increased funding, we think that no matter what will see an increase in our Federal Services business in 2009 and '10.
Preetesh Munshi: Great, last question, with regards to the potential of importing a Italian waste, does it -- is it just more of a political battle or is it -- are there any regulatory hurdles there and given what you know today, what's the kind of probability you would put on that happening in the near future or even in the mid to long-term?
R. Steve Creamer: We look at it, its something obviously that's not in our numbers today and its really not even in our growth projections going into the future. We've always known that we were going to be and we have been building and growing internationally. We're spending most, we obviously are being very cautious, because of the times and spending very much money in expansion, but the money that we are spending is in expanding and diversifying our international segment. Obviously if we're able to do this, it's going to enhance the speed that we are able to move the international expansion and we are going to do it over a long period, over a continual everyday grind it out type thing. We're going to have, if we're able to do this, it will accelerate how fast we can grow that international division. I don't have to put the odds on it. We believe that the law will ultimately rule in our position and that we will have the opportunity to be able to it. We have been trying everywhere we can to make the -- we have great support in the legislature in the State of Utah, but we also have a Governor who really doesn't want us to do this and so we are very politically attuned to what's going on. We're trying to be as good a corporate citizen in the State of Utah that we possibly can and I think ultimately, we will win, but it maybe several years down the line, before we actually get it done depending on, if the Governor decides to appeal on this issue, if we win in the district court or what happens there. But we think under any circumstances ultimately we will be able to do it. The only regulatory thing here is that NRC has issued us an import license. They judge it based on two things health and safety and they have -- they've already ruled many times that there is no health and safety issues with what we do at all. And the other thing there is a willing receiver until it is law, until its declaratory judgment is over. They're not going to issue us another import license until that case is over. So we'll sit and watch it and see how it goes but we're pretty bullish on it. We are not letting it distract us for the main core businesses to make sure we deliver for our shareholder day after day but we think it is a great real opportunity if we're able to do it.
Preetesh Munshi: Great, sounds good. Well stay tuned, thanks.
R. Steve Creamer: Thanks. Thank you.
Operator: And the next question comes from the line of Alex Rygiel with FBR. Please proceed.
Alex Rygiel: Thank you and nice quarter gentleman.
Philip Strawbridge: Thank you.
R. Steve Creamer: Thanks Alex.
Alex Rygiel: First, Philip, as we think about 2009 on a quarterly basis, can you kind of walk us through the pluses and minuses taking into consideration kind of the variability in recognizing profit with the Magnox contract?
Philip Strawbridge: Well Alex, I mean, we don't -- we try to stay away from quarterly guidance. I know people still try to still kind of want some guidance there. We have -- Q1 and Q2 has always been somewhat stronger because of Magnox. We think that will be down a little bit because as you saw we are trying to flatten those out. Q4 historically has always been our largest one. We still anticipate that. So, really when we look at the way the things are laid out, we think that it's probably going to be Q3, Q4, will be... Q4, for sure will be largest and then you've got probably Q3 to Q2 to Q1. I know it is not much help, but again we try to stay away from guidance on a quarterly basis.
Alex Rygiel: That's helpful and as it relates to the large component contracts and understanding everyone a little bit different in size and time line but can you just talk about the average and what is from the start dates, how long are you in kind of the upfront processing side of it. And then how long is the disposal period?
Philip Strawbridge: Well I mean, once we get the contract in place, it depends upon the size of the steam generators as an example or the major components and what we have to do on site to prepare them for shipment. But once the contracts are in place which we've announced, you've got a couple of months work in terms of on site work. And then probably a couple of months before at most until it get it actually in the cell which is when we do the LP&D portion which is the highest margin. So, three to four months tops from the time that the contract is actually signed and announced. You look at the one in North Carolina, you know we anticipate having those -- the actual steam generators in the cell by the beginning of Q2.
Alex Rygiel: Perfect. Thank you very much.
Operator: And the next question comes from the line of Al Kaschalk with Wedbush Morgan. Please proceed
Al Kaschalk: Good morning guys. Steve or Phil could you maybe give a little bit more clarity on why you are trying to level out profit or the operating results in the international segment particular on Magnox.
Philip Strawbridge: Well, I mean again the purpose is that because we want -- ideally we have a perfectly flat year and we recognized that in the past that its been Q1 and Q2 that's been the largest piece. And every time, you will recall last year, every time we got into a quarter, particularly in the say Q3 timeframe, everybody was saying, what's happening to Magnox; it seems like their margins are going down. And you continually remind people, no, that it was more Q1, Q2, explain that situation. So the ideal situation would be to flatten our (ph) perspective.
Al Kaschalk: So does it mean the volume of work is level, the fee that was heavily paid in Q1 or Q2, based on the results, that fee is now going to be assessed on a quarterly basis or what --
Philip Strawbridge: Well I would say that, I would anticipate that we are always going to have Q1, Q2 as the larger quarter simply because whenever we set up the incentive fee targets, and that's what drive this, when we set those incentive fee targets, those are usually negotiated at the beginning of their year. And their year, as you know, is really an April timeframe, the UK year, since we are dealing with the UK government. So those are usually set up. What we are trying to do is have targets that we can quantify throughout that year and so that we can start to recognize that revenue as we achieve those targets. Of course, by its nature, a lot those targets still are going to be coming up due at the end of the year. So it's not just trying to change something that's been done for a long time in the past; it's trying to create specific quantifiable targets that we can achieve throughout the year.
R. Steve Creamer: I don't think it's really changing how we operate over there at all. What we trying to do is get better money management by finishing these negotiations up along the way, getting them (ph) build up through the end of the year. And so we look at it as just being good management. And I think the NDA looks at it too because it allows them a more even workflow going through. It's makes our... we challenge our people to get the things finished up, and so they're not all sitting down in the last month of the year trying to figure out what... negotiating every one of these performance-based incentives out. So it really... it's better for Energy Solutions, it's also better for the NDA, for our customers. So we think it's a very positive thing to be able to do. And of course finished these things up through the year is just better project management.
Al Kaschalk: All right.
Philip Strawbridge: And I'll say, Al, just the other comment you talked about, sort of stable funding. There has always been questions around the funding for Magnox. And I know that people brought that up. If you look and to reemphasize year-over-year, we've actually increased, when you look at it on a pound-for-pound basis. And the reason for that increase quite frankly is because of the good performance our guys have over there. You've heard us say we are the number one rated tier 1 contractor in the United Kingdom. So there we are able to provide them more work and so they have given us more money. Unfortunately, that good performance has been masked, if you will, by things out of our control like the exchange rate.
Al Kaschalk: But won't your performance be masked now if you level it out? I mean we are going to see the variance, or are we going to see...
Philip Strawbridge: No, I think what you ought to evaluate it on is the total year... for the total year.
Al Kaschalk: Okay.
Philip Strawbridge: And what that's going to do as well as kind of smooth out those margins, because you will recall, in the past, Q3 and Q4 margins were either zero, or in some cases negative. So we'll... that was all because of the way of those incentive fees and so that will be changed.
Al Kaschalk: But I guess the point is the ability to get a high watermark in a given quarter, the range is going to be tighter. But it also doesn't sound like the range, the top end of the range can increase.
Philip Strawbridge: Well I think... no, the top end of the range as we continue to do better and we negotiate better incentives, will be able to be increased.
Al Kaschalk: Okay. If may just flip over to Commercial Services for a second, I don't know, if you stated this, I apologize. But how are the trends there in terms of funding for that business segment? Because I would anticipate that, and I think you made a comment in your prepared remarks, that that activity is slow or has felt some pressure. So is the first half definitely softer than the second half expectations in that regard?
Philip Strawbridge: Well I think in terms of... I will talk about the whole year. Commercial Services has been one of our more successful segments. And when you look at the total increase year-over-year, they've grown and we anticipate that they'll continue to grow as we're able to provide more and more capabilities to our customers. They are today as an example, they are focused on those... really the major component types of opportunities. And we see several of those coming in, in Q3 and Q4, Q2 and Q3, then they hit disposal in Q3 and Q4 types of periods. So for the most part, we anticipate that for the year, they are going to be, I'll say, relatively flat. But we anticipate year-over-year that they'll up. So they've had good growth year-over-year.
R. Steve Creamer: And I think another, Al, on that, I think there is two other pieces of the stimulus bill that we haven't even talked about. And that's one going to about... a little over $1 billion going to the Corps of Engineers, another $1 billion going to EPA for super fund. Our Commercial Services, those are handled... the on-site services there on those types of projects are actually handled by our Commercial Services group rather than our Federal Services group because you are more tied directly to companies and that. So we can see some... we think the stimulus is even going to help that division out also. There is a couple of billion dollars there which is significant when you look at the size of that division. And we're well positioned to be able to get our share in those also. So we think there are some good opportunities there. But we are trying to get visibility on those two. They are not... I don't think they are as far along in their plans as the DOE is, but we're excited about that. But there is also a continuing... there is many, many projects out there that we're working on all the time. Our sales force is not finding a pullback in the opportunities. And so we feel like there is... as Philip says, we'll continue to grow that segment year-over-year.
Al Kaschalk: Great. And then finally, a much broader and a little bit longer term, although it relates to 2009 EBITDA guidance, 165 to 180. If you looked at a recent investor presentation, I think the range is 155 to 174. So it appears that you are expecting a stronger year relative to '08 versus previous comment of being flat. So what's the catalyst on the $10 million above those historical, or the ongoing trend? And in relation to that, how much in 2008 fourth quarter did HTP contribute to the revenue or earnings front?
Philip Strawbridge: Trying to understand your question, Al.
Al Kaschalk: Well in a February presentation... investor presentation, you have a segment EBITDA guidance or trends, I should say, 155 to 174, you take the top end.
Philip Strawbridge: Right.
Al Kaschalk: And what you provided for '09 is 165 to 180 that we are hearing some... a little bit of struggles on the front end of 2009 to get started but a strong back half, implying that you are going to be up at least maybe 5 to 10 million versus '08. So what I am trying to understand, what segment is really pushing your performance in the given year relative to 2008 and above what would be viewed as, or what you have disclosed as a trend in your ongoing business or base businesses?
Philip Strawbridge: Well, first of all, that's your characterization. I don't think we are struggling at the beginning. I think that we have got a good start, we've got good visibility on... in all segments for the beginning in 2008. As we jump in a year, just from our planning purposes, what we have is, as I mentioned before, a couple of those major component types of jobs that will start off and are already started. In the commercial services arena, you get the services on the front end, but that means that LP&D, in terms of receiving those major components coming in, in Q3 and Q4. And that is some of our most profitable business, and that's why the back end is going to be probably a little heavier loaded. It's not necessarily because of revenue; it's more because of that profitability of those major components. So that's just kind of the way we've modeled our year, if you will. And so, as I said before, in my comments actually, I think from when we look at visibility this year, we've got very good visibility for this first half and we feel very comfortable.
R. Steve Creamer: I would say that we have much better visibility this year than we had last year, and that's what we continue to work on is as we mature as a... we brought the companies together to make one company and is the rigor of looking forward and budgeting. And I think we are in much... today, we have much better visibility into 2009 than we had in 2008. And I think we are already working on projects for 2010. So we have some very strong goals to build the visibility every quarter after quarter after quarter.
Al Kaschalk: Thanks a lot.
Philip Strawbridge: Again, Al, just as you'll recall, that slide you are talking about wasn't our guidance slide. That wasn't the purpose of that slide. That slide was put out there because of the questions we get in terms of what's kind of your, what I will say, is our ongoing or base business. And so the questions were around, so if you didn't win projects, where would they go? And that's what we said, that's what that bottom number is on that slide. So that slide is not our guidance and that's why the difference there.
Al Kaschalk: Right. No, and I understand that, and that's why I was just trying to get the delta off of it. If one would think you had a flat year, 155 or 160 range, you would hit the low end of your guidance. But there is some room there on the upside and I... but I think it sounds like it's still dependent on a few conversions on some contracts is what I am trying to get at.
Philip Strawbridge: Yes, it still is on a couple of major components, but also the visibility with regard to the stimulus package, which, again is already passed. So it's not a debate of how much or those types of things; it's a matter of how can we get that allocated as quickly as we can so that we can start moving on and getting the earnings in '09.
Al Kaschalk: Very good. Thank you.
Operator: And the next question comes from the line of Vance Edelson with Morgan Stanley. Please proceed.
Vance Edelson: Thanks a lot. Could you just comment on the competitive threat, if any, from the WCS facility now that is has a license? Would that be considered direct competition in any sense in your mind? Thanks.
R. Steve Creamer: They have their license. They don't have... it's a conditional... I mean they have a license that has 94 conditions on it. If you really look at their license, they are still... we still... some of the same issues that they have had since 1994 still exist today. We watch and monitor it. Some day, they may get their license, but they've still got a lot of the same hurdles that they have had for the last 14 years. And they do have some support in their Governor's office, but they... they're pushing it really hard, but the regulators, if you look at their license and review it, if it's online, they've got 94 conditions that they've still got to answer before they can actually operate under that license. So at least in the short term, and we believe we look at it, we don't know exactly how everything will play out. But we still think they have major hurdles before they can operate that they've got be able to take care of.
Vance Edelson: Okay. That's very helpful. And one more question on the license stewardship, any update on kind of the state of the trust funds given the continued market slump, how they look right now in relation to what's ultimately required. And do you think you can move forward on projects with only partial funding? Thanks.
R. Steve Creamer: Well we are working... we're obviously being very cautious because the one thing we want to do is make sure that we protect our... we have a very strong business; we don't want to do something dumb in the name of hurting it. And so we're working very hard. But we have five or six different alternatives we are working on with Exelon in order to make it happen in a secure way that both companies are comfortable in moving ahead. They are very supportive in trying to get it done. The fund obviously, it has less impact now because obviously the stock portion of the fund that was at about 40% back in August has probably dropped to 25% today just because of the value of that portion has gone down. But they are continuing to moderate. Obviously, we need the market to come back some, but there is also some other things that we are working on like everything from the letter of credit to extending it to 12 to 14 years and so the 10 years... or several to take... there is several operating things there that can save $20 million to $30 million a piece by changing the way it's done and what Exelon was thinking. And so we are just working together with them on a continual basis to move it forward. And we are very positive that we will get it done as I think if you ask them, they will say the same thing.
Vance Edelson: Okay, that makes sense. Thanks a lot.
R. Steve Creamer: Thanks.
Operator: And our next question comes from the line of Ben Elias with Sterne, Agee. Please proceed.
Ben Elias: Good morning, thank you. I had a question about the case on the Italian waste as well as the efforts in legislature now. The court case, is that particular to Italian waste or is it for international waste? And if it Italian waste or international, how would you eventually get some of the Magnox waste back in the country as well?
R. Steve Creamer: Well, we are recycling Magnox waste today in our Tennessee facility; that's a recycling process and we continue to do that. We've always done it. There is nothing in that law or in anything in Congress that would preclude the recycling of these materials. And so from that standpoint, nothing changes at all on that. We would like to be able to possibly bring more Italy. It's just the case is not about Italy; it about international waste, as is the opportunity in the... where we were playing in the legislature. And I think it's just going to be a long play out opportunity. And just a minute, we just have breaking... we don't have breaking news. We do have breaking news, or we don't have breaking news? Our President and General Counsel is here and I'll just let him tell you. This is Val Christensen who is the President, and is not doing this, but. Okay, I guess we don't want to announce it yet, so. But they are all smiling in the room, so it must be good news. So you will see something later today. But it does sound like maybe there was positive outcome today. And I don't know what it is; they are all just smiling around me, so.
Ben Elias: Okay.
Philip Strawbridge: Sorry.
Ben Elias: So I guess any time is a good time. But could you also address the trend in margins? I have noticed that the Federal Service as well as the LP&D... Commercial, I am noticing a trend of declining margins over the last eight quarters on the Federal side as well as the Commercial side. I mean I think for a while (ph) your segments, you started the year significantly higher that where you finished.
Philip Strawbridge: Yes, I mean on Federal, the only reason the margins have changed is because... primarily because of the consolidation of joint venture income. We talked about that in earlier quarters. That's where we have a small percentage ownership. But what's happened in two jobs, both that we've talked about before, is that the customer came to us and asked us to take over leadership in those jobs, which means that we had the controlling interest even though we don't have the largest ownership interest. What that means from an accounting perspective is that we had to flow all that revenue through our books. And so that's the difference in terms of the Federal stuff. In terms of the company overall, as we mentioned before, yes, the margin is down because you've got full year impact of RSMC. RSMC is a business as we know has a smaller margin, essentially related to its risk because it's a pass through type contract. And this year, 2008, was the first year that we had the full year impact of it. So when you compare it back '08 to '07, that's the major driver there.
Ben Elias: Okay. Thank you very much.
Operator: And ladies and gentlemen, I'm sorry, but we have no more time for any additional questions. I would now like to turn the meeting over to Steve Creamer for closing remarks. Please proceed.
R. Steve Creamer: Thank you very much everyone. As I said before, we have had a solid quarter and we really do have a great company and a great business that generates great cash flows and is good in whatever type of economic times we are in. We appreciate... we understand a lot of frustration because we have a lot of frustration over the market volatility over the last six months. But we feel strongly about our business. We don't think anything has changed; it's just the whole market has change. And so we plan to work hard to deliver shareholder value today and on into the future and we appreciate all of your support and we are looking forward to continuing working with all of you as shareholders and certainly with our utility and our government customers. Thank you very much and this will conclude our call today. Thank you all.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation and you may now disconnect. Have a good day.